Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Climb Global Solutions' Financial Results for the First Quarter Ended March 31, 2025. Joining us today are Climb's CEO, Mr. Dale Foster; the company's CFO, Mr. Matthew Sullivan; and the company's Investor Relations adviser, Mr. Sean Mansouri with Elevate IR. By all, everyone should have access to the first quarter 2025 earnings press release, which was issued yesterday afternoon at approximately 4:05 p.m. Eastern Time. The release is available in the Investor Relations section of Climb Global Solutions' website at www.climbglobalsolutions.com. This call will also be available for webcast replay on the company's website. Following management's remarks, we'll open the call for your questions. I'd now like to turn the call over to Mr. Mansouri for introductory comments.
Sean Mansouri: Thank you, operator. Before I introduce Dale, I'd like to remind listeners that certain comments made on this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain known and unknown risks and uncertainties as well as assumptions that could cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject to other risks and uncertainties that are described from time to time in the company's filings with the SEC. Do not place undue reliance on any forward-looking statements, which are being made only as of the date of this call. Except as required by law, the company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. Our presentation also includes certain key operational metrics and non-GAAP financial measures, including gross billings, adjusted EBITDA, adjusted net income and EPS, and effective margin as supplemental measures of performance of our business. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You'll find reconciliation charts and other important information in the earnings press release and Form 8-K we furnished to the SEC yesterday. I'll now turn the call over to Climb's CEO, Dale Foster.
Dale Foster : Thank you, Sean, and good morning, everyone. The momentum from our record 2024 was carried into the first quarter, leading us to exceptional growth across all key financial metrics. Our performance was driven by the execution of our core initiatives. Additionally, we generated solid organic growth in both the U.S. and Europe, demonstrating our ability to deepen relationships with our existing partners while signing new cutting-edge technologies to our line card. Throughout the first quarter, we evaluated 50 potential vendor partners and signed agreements with only 4 of them, underscoring our commitment to partnering exclusively with the most innovative strategically aligned technologies in the market. This selective process ensures we continue to deliver differential -- differentiated solutions to our customers while maintaining the high standards that drive long-term value across our platform. I'd like to quickly highlight one of these wins. Climb signed a contract with Darktrace mid-quarter. Darktrace is a cybersecurity company that utilizes artificial intelligence to detect and respond to cyber threats. Their AI-powered technology allows them to identify threats that traditional systems may miss such as insider attacks, latent vulnerabilities and cloud-based threats. While their technology is excellent, I'm even more encouraged by the initial interaction between our sales teams and a quickly growing pipeline that has already topped $30 million in potential gross billings. As part of our effort -- ongoing effort to evaluate and optimize our business, we're making steady progress in the implementation of our new ERP system, which is increasingly contributing to improved efficiency across our global operations. We are seeing meaningful gains in transactional speed and process accuracy. We believe we further -- with further optimization, the system will enable us to operate more seamlessly at scale, unlock deeper data insights and enhance agility and visibility across the organization. In early April, we hosted our annual Climb Partner Conference in Miami where we gather top vendor partners and channel partners to align on our strategic priorities for 2025 and spotlight the latest in emerging technologies. As part of the event, we were proud to recognize Freshworks as our Strategic Partner of the Year. Freshworks continues its focus on being a channel-first organization, agile, collaborative and deeply committed to our partner success. Our partnership is built on trust and shared momentum, and we look forward to continuing to drive meaningful growth together. Last week, we announced the appointment of Paul Giovacchini to our Board of Directors. Paul brings over 30 years of experience in private equity, corporate governance and board leadership across public and private companies. He currently serves as a lead independent director for TPI Composites, where he previously served as Chairman and helped lead the company's transformation into the global public enterprise. Paul also serves as an independent consulting adviser to Advantage Capital Management supporting private equity and debt investment strategies. I'm pleased to welcome Paul to the Climb family and look forward to his contributions as we continue to scale our footprint, both domestically and abroad. Looking ahead, we believe we are well positioned to sustain our momentum, continue driving organic growth and further enhance our operating leverage. On the M&A front, we will continue to remain active and disciplined, evaluating accretive opportunities that can strengthen our offerings and expand our reach in North America and overseas. These initiatives, coupled with our healthy balance sheet will enable us to continue executing on our goals ahead. With that, I will turn the call over to our CFO, Matt Sullivan, and he will take you through the financial results. Matt?
Matthew Sullivan : Thank you, Dale, and good morning, everyone. A quick reminder as we review the financial results for our first quarter, all comparisons and variance commentary refer to the prior year quarter unless otherwise specified. As reported in our earnings press release, gross billings in Q1 2025 increased 34% to $474.6 million compared to $355.3 million in the year ago quarter. Distribution segment gross billings increased 36% to $453.6 million, and Solutions segment gross billings increased 2% to $21 million. Net sales in the first quarter of 2025 increased 49% to $138 million compared to $92.4 million, which primarily reflects organic growth from new and existing vendors as well as contribution from our acquisition of DSS in July of last year. Gross profit in the first quarter increased 37% to $23.4 million compared to $17 million in the prior year quarter. Again, the increase was driven by organic growth from new and existing vendors in both North America and Europe as well as contribution from DSS. Gross profit as a percentage of gross billings increased to 4.9% compared to 4.8% in the year-ago quarter. SG&A expenses in the first quarter were $16.8 million compared to $12.5 million for the same period in 2024. SG&A from DSS accounted for $1.1 million of the increase. SG&A as a percentage of gross billings remained flat at 3.5% compared to the year ago period. Net income in the first quarter of 2025 increased 35% to $3.7 million or $0.81 per diluted share compared to $2.7 million or $0.60 per diluted share for the comparable period in 2024. Income tax expense in the first quarter of 2025 decreased 37% to $600,000 or an effective tax rate of 13.3% compared to $900,000 or an effective tax rate of 24.6% for the comparable period in 2024. This big decrease in tax expense was driven by a deep discrete item recognized for the permanent book-to-tax difference associated with the rise in stock price when equity awards vest as compared to the book stock compensation expense recognized, which is based on the grant date fair value. Adjusted net income increased 39% to $3.9 million or $0.86 per diluted share compared to $2.8 million or $0.62 per diluted share for the year ago period. Adjusted EBITDA in the first quarter increased 38% to $7.6 million compared to $5.5 million in the prior year quarter. The increase was driven by the aforementioned organic growth from both new and existing vendors as well as contribution from DSS. Adjusted EBITDA as a percentage of gross profit or effective margin increased 20 basis points to 32.7% compared to 32.5% in the year-ago period. Turning to our balance sheet. Cash and cash equivalents were $32.5 million as of March 31, 2025, compared to $29.8 million on December 31, 2024, while working capital increased by $4.4 million during the period. The increase in cash was primarily attributed to the timing of receivable collections and vendor payments. As of March 31, 2025, we had $600,000 of outstanding debt with no borrowings outstanding under our $50 million revolving credit facility with JPMorgan Chase. On April 28, 2025, our Board of Directors declared a quarterly dividend of $0.17 per share of our common stock payable on May 16, 2025 to shareholders of record on May 12, 2025. As Dale mentioned earlier, we will continue to leverage our robust liquidity position to evaluate accretive M&A opportunities to enhance our service and solutions offerings across existing and future markets. We're incredibly proud of our global team for delivering another quarter of strong performance, and we look forward to building on this momentum as we execute against our organic and inorganic growth initiatives throughout 2025. This concludes our prepared remarks. We will now open it up for questions from those participating in the call. Operator, back to you.
Operator: [Operator Instructions] And we'll go first to Vincent Colicchio with Barrington Research.
Vincent Colicchio : Good morning, Dale. Do you -- the organic growth, were there any large deals in the quarter that you may want to call out? Or was it broad-based demand?
Dale Foster : It was pretty much broad-based. We called the one out in Q4 of last year when we had our vast. We still have, like we said, probably for 2.5 years now, they'll be lumpy, but nothing that stood out for Q1. We had the additional advantage of DSS just like we did in Q4. But Q1 is not the strongest as we start moving into DSS's, I'm sorry, DSS, not DS, into their strongest quarters coming into the education space and the end of the state budgets that end in June. So we'll see those pick up. But no, it's just a good overall quarter. A lot of our bigger brands are growing at a little higher rate than they have before. And then some of our emerging brands are doubling down, and we're just getting more out of those guys.
Vincent Colicchio : Has there been any change in sentiment given the uncertain economic environment? And also, can you talk about how tariffs may impact your business?
Dale Foster : Yes. So we haven't -- we kind of feel it adjacent to us. And I'll talk about the tariffs first, and that is we're 80% -- over 80% in the U.S., we buy in U.S. dollars. Our vendors are U.S. So you take a look at 80% of it doesn't affect us. And then we look at overseas, we're still selling a lot of software. Most of our business overseas is in the U.K. and Ireland, but not a real impact. We don't see that right now just because of the lion's shares in the U.S. We deal with the Canadian side of things. We deal with our quoting. We put our new language on there as far as tariffs. So we don't quote at any distance like we do in the U.S. and where we have a quote that's good for 30 days and Canada is good for 5 days, so we try to get pretty close.
Vincent Colicchio : And are you starting to see some of the synergies you were hoping for in Europe?
Dale Foster : We are. We announced at the last call that we knew Citrix, we were losing Citrix. We still took advantage of it in Q1 because we had legacy. We still have a little bit that's going to drag on for a couple of years. So the big hole for Citrix is it's starting to fill in Q2. We already have some mitigations that we're doing on new vendors. We've reorged our team over there. They're all in our systems like we talked about. We didn't mention because it wasn't a Q1 event, but just as of this past Monday, DSS, Douglas Stewart went on our ERP system live. So that's a good thing. So now every division, every company we've acquired is all on one ERP, all looking at the same numbers, and we'll just keep enhancing that. But yes, overall, everything is positive.
Vincent Colicchio : So in the month of April, did you see organic growth trend as it did in the Q1?
Dale Foster : Yes. I mean as far as -- we just don't talk about the future stuff as far as April goes. We're just finishing up. But still we're -- I mentioned Darktrace and we kicked off April 1 with them. And it's a relationship and I'll kind of share with the entire group, and that is some of these relationships take a long time to develop to get to the place where you do a contract. And then once you get to a contract to actually start executing. I was talking to Charles, our Alliance Chief. And we looked at our first time we talked to them was over 2 years ago. We got serious with them in June of last year. And here, we're just launching April 1 of this year. So the bigger vendor, the more opportunities, the longer it takes. We want to make sure we get it right. During that time, Darktrace got bought by Thoma Bravo. So delays some things, but we're super excited about our pipeline is growing very quickly with them. And I mentioned, I think, in one of the questions we had, and maybe it was your question last time, Vince, as far as, hey, what really gets you guys to the next, next level, and it's really adding. We have 3 large vendors. We want to get 10 large vendors that really will help us in our effective margin as that drop through and get more efficient with them. And Darktrace, we believe, is going to be one of the -- they'll probably be a strong #3 or 4 by this time next year.
Operator: It appears we have no further questions at this time. I will now turn the program back over to our presenters for any additional remarks.
Dale Foster : Yes. Thank you, operator. Just in closing, real quick, a big shout out to the Climb team. We've gone through a lot with our ERP over the last 9 months. We're on the other side of it. So there's a lot more smiles in the building. But I appreciate everybody's time and commitment to get that done. Now it's really fine-tuning all the things that we've been working on, and you'll see that over the next couple of quarters. So again, I appreciate the whole Climb team, and that includes even our shareholders and our Board. Everything is going in the right direction. So I appreciate that. And with that, I'll just say thank you and end the call.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.